Santiago Donato: Good afternoon, everyone. I'm Santiago Donato, Investor Relations Officer of Cresud, and I welcome you to the First Quarter of Fiscal Year 2021 Results Conference Call. First of all, I would like to remind you that both audio and a slide show maybe accessed through the company's Investor Relations Web site at www.cresud.com.ar by clicking on the banner webcast link. The following presentation and the earnings release are also available for download on the company Web site. After management remarks, there will be a question-and-answer session for analysts and investors [Operator Instructions]. Before we begin, I would like to remind you that this call is being recorded and that information discussed today may include forward-looking statements regarding the company's financial and operating performance. All projections are subject to risks and uncertainties and actual results may differ materially. Please refer to the detailed note in the company's earnings release regarding forward-looking statements. I will now turn the call over to Mr. Alejandro Elsztain. CEO. Please go ahead, sir.
Alejandro Elsztain: Hello. Good afternoon, everybody. We are beginning our first quarter 2021 results in the Page number 2. And we can see and begin with the adjusted EBITDA for the quarter that we are achieving ARS5.8 billion that is 63% higher than last year numbers. When we see about the comparison of the two quarters, it's almost the same at the early business level and Matias explain deeper later. In the urban business, there is an increase of 155% in the urban business comparing year to year and is these when we compare the rental segment its much lower this year, it's 96% comparing to last year. It's big drop, majority of the last six months, our malls were closed. But we had a big increase in the sales of some office buildings that made ARS5 billion in the first quarter in the urban business. About the net results, we are finishing the first quarter with ARS7.5 billion gain, a little smaller than last year number, and resulting to the attributed to the controlling company, it's a much higher. We are in the positive ARS2.9 billion comparing to a loss of last year. This first quarter, it’s beginning with the strong recovery in commodity prices, we are going to explain deeper with Carlos about what is happening on the market. From other side, the conditions at the beginning of the company are the best, and we -- the last weeks, began to rain and the planting, it’s becoming to recover to almost normal. But the market changed a lot the last 90 days and we are going to speak much more deeper now. From the other side, there were no farm sales in the first quarter. I think this is a market that will move a lot. In this new environment of prices, a lot of interest for farmers mainly in Brazil because of the situation of the devaluation on their currency plus the increasing on the prices is making a very positive market with the [adding] value of them that they don't pay income back when they buy the new farm, we are very optimistic on that market too. But not only there in the rest of LATAM in this new environment of commodities. Related to the urban business and investments. In September 20 of this year, the Court decreed the insolvency and liquidation of IDBD. After this decision, the group lost control of on the date and proceeding that the consolidation the financial statement. So we don't consolidate more our Israel investment. In Argentina, shopping malls are reopened recently after this lockdown for six months. We did in a partial way, we began in the interior of Argentina after Arcos, after the rest and now 100% are open. So we are seeing much more development on that area too. And in the office was almost normally little more vacancy, but stable comparing to the other things. Related to financials. We successfully exchanged our bonds that matured this year. We are going to explain much more deeper later. We can move to next Page number 3. And we can see that the region, the four countries remain at similar levels of plantation. And I'm really glad about this, in the moment of the decision margins were very low, mainly in the Argentina and thanks that we decided finally to plant and to keep the level. We are facing a very good big campaign with a big increase, huge increase in the market of the prices mainly in the soybeans and corn. So having these 262,000 hectares of planted hectare of planted in the region, we are very optimistic on the operation of the year. So I will now introduce to Mr. Carlos Blousson.
Carlos Blousson : Thank you, Alejandro. Good afternoon, everybody. We're moving to the next space to farming, commodity prices and global stocks. We can see in the graph the prices keep the high trend. In the last three months, the prices continue growing considerably about 26% in corn and 33% in soybean. The reason are the following: Supply and demand. Considering the supply, the production of the crops in United States are lower than expected, decreasing global stock to levels similar to five years ago. In case of South America, the beginning of planting are not happening in the best weather condition due to lack of rain and the export are higher than they usually expected by this time of the of the year. Considering the demand, we’ll see a post pandemic increase mainly in China. The export went up in the other [indiscernible] the strategy stops. China has taken advantage of their purchase capability for the dollar has depreciated, making this a more competitive situations. Regarding about the stock's consumptions, in case of soybean, we can see in the graph a decrease in world’s ratio by 24%. This happened due to the post pandemic as demand overcomes the offer particularly in China. Talking about corn, we see that the constant consumption ratio, the world ratio decreased to 25.8%, especially in United States by 40.9%, the reason being that the production decreased in comparison to the forecast and increase in exports. In addition to increments in the use of corn for ethanol productions affected by the increase of oil prices in the world because of the pandemic. We [indiscernible] in the soybean price in Brazil continue to be more competitive compared with United States, Argentina directing a higher demand in Brazil. They have already sold more than 50% of their future productions. The current regional head positions the level in soybean is 67% in over the budget price and in case of corn [indiscernible] hits level is 53%. We’ve been over the budget in soybean and corn as long as our planting situation happens, we will continue selling at this good price level. Let's go to the next page, the beginning about the farming in 2001 campaign. About the weather, as you can see in the maps on the left, there is uncertainty regarding the development of the weather in the region. A slide decline is being affected by la nina under average volume of rain. However the forecast there will be neutral situation after rains happen. This will allow a normal performance in the plantation progress in the region. Our plantation progress, the [indiscernible] progress in case of soybean, the rational progress is 37% within the optimal period of showings, we're awaiting the rain season to complete successfully during the next month. Talking about corn, the regional progress is 40% completing the [indiscernible] corn in Argentina and Bolivia, and we complete the planting before the end of the year. Lastly, we will complete 100% of the wheat and we started the harvest in Argentina in the next month. About the other point is the exchange rate, as I in the graph the currency depreciation was up 80% in Argentina and 4% in Brazil during the last quarter, generating an annual devaluation of 33% in Argentina and 28% in Brazil. Thank everybody. I hand over to Matias.
Matias Gaivironsky: Thank you, Carlos. Good afternoon, everybody. So regarding our investment in IRSA during the quarter, we have different results. Shopping malls as you know were deeply affected by the pandemic with most of our operation closed during the quarter since March, the malls were closed and we started to open during the quarter. In September, we had around 44% of our malls open. Now the situation is different. We opened 100% of the operation but it's not reflected yet in the results. Regarding our commercial strategy, we decided to preserve long term relation with our tenants and really support them during this pandemic. We waved most of the rent during the quarter that has a cost for the company, but we prefer to preserve the relation in the long-run and give the time for the recovery to our tenants. Regarding the offices, its different. The operations were not affected by the pandemic. We have all our buildings under operations, although, most of the companies are working from home, their buildings are under operation. The stock, we have a slight decrease in the stock, because we sold some of square meters during the quarter. The occupancy remain stable at almost 92% and the average rent with a slight decrease to $26 per square meter. We are finishing the construction of the Della Paolera 200 that we will open hopefully during the next month. And regarding the hotels. Up to now, the hotels were closed now, and intercontinental start with some operations, the shops start to open during this week. So we hope to see better results going forward. Regarding the Israel business segment, as we described during the last quarter, unfortunately, we lost control of IDBD. There was a decision from a judge in Israel that decide that the company is insolvent and started the liquidation process. That liquidation process ended yesterday. The part of the liquidation ended yesterday with a disposal of the DAC shares to another group, to a third-party. So the company lost control on the investment and started consolidation of the investment starting in September 30. So the results that we’re going to see are not longer consolidated with IDBD. The consolidation generated a loss that we will review in the -- when I explain the financial statement. So move to Page 9, and we can see here the end of September that we are recognizing a net income of ARS7.5 billion against ARS9.5 billion of the last year attributable to our controlling shareholders is ARS2.9 billion against a loss last year of ARS3.2 billion. And we analyze more deeply what are the drivers of the net income. The first one came in the line -- in the line 6, the change in fair value, that is mainly in the urban business that generated a profit of ARS23.6 billion against last year of ARS12.1 billion. This is related to valuation at fair value of our offices and land bank that the exchange rate in Argentina, the blue chip swap increased significantly during the last quarter, and we are reflecting on a comparable basis the value of our buildings and that has a uprising in dollars. So when we reflect in pesos generate this profit. The other important effect is in the line 13, the net financial results that you can see last year a loss of ARS18.2 billion against a loss of ARS2.5 billion this year that I will explain later in the following pages. The other is in the income tax that is related to the change in the fair value. So when we have an appreciation of our properties, we recognize the deferred tax on that is not the current tax. So this is not a cash effect, it’s a noncash effect. And finally, in Page -- in line 16, we see the net income from this continuing operation. This is related to Israel. The reconsolidation this quarter generated a loss, because in the previous quarter we recognized it in the [solo] balance sheet, the investment at [zero] but on a consolidated basis, we lost control during September. So we have to recognize the result during the first days or during almost all the days of the quarter and then give impact to the reconsolidation. There are several reserves associated to our investment, like the commercial reserve and the minority or the controlling reserve that we have to eliminate in this quarter and that generated this loss of ARS6.3 billion -- almost ARS6.4 billion, and last year we recognized it here a gain of ARS13.9 billion that was related to the investment in Gabian, where we consolidated that subsidiary generated the profit. So if we move to Page 10. We have the breakdown on the adjusted EBITDA by segment. We can see on the total agribusiness results very similar than the previous year. When we see the farmland sales, we see an increase. This is related to the receivables that we have on the disposals of some farms in BrasilAgro. We sold farms with payments in installments associated to the price of the soybean. And since we see here an increasing value on the soybean, we have more receivables. And this is the main effect on the difference to last year. In the Grain segment, in line three, we see a drop from ARS666 million to a loss of almost ARS200 million. Remember that this is the first quarter of the year it’s not the most relevant quarter. We have the remaining stock of the last campaign that we haven't sold. And the main important effect here is that during the quarter we decided to hedge part of the production. And since the price of the soybean increase or the corn increase, we are recognizing here a loss that will be compensated with the evolution of the campaign, with the evolution we will recognize also the production and we'll be compensated this loss in the future. Sugarcane remain stable compared with the previous year. The Cattle, we have better results that is related to the price of the cattle here in Argentina, in terms of -- in real terms, we have an appreciation of the cattle that was recognized during the quarter. And finally, in the other segment FyO and the beef cattle facility, we have a drop in -- this is basically related to the operation of FyO that this quarter we are recognizing more costs related to inflation and salaries. And in the last year, we have some extraordinary effects because of the valuation during the last year. Regarding the urban segment, shopping malls were very affected by the pandemic. We generated a loss during the quarter with almost all the operation closed. So we expect to recover during the fiscal year to positive results again. In the offices, we have a drop of 32.9%. We have here a lower stock, because of the [indiscernible] of offices and slightly higher vacancy. And also last year, we have the effect of the devaluation that our agreements are in dollars and we have a real devaluation during the last year that generated a profit during the quarter of the last year. The hotels is the same trend than the shopping malls with operation closed, so that is the explanation. And finally in line 12, we have the sales and development. This is the part of the offices we sold. So we -- the gain between all the appreciation of the offices that we sold during the quarter were reflected in this line. If we move to Page 11, we can see the breakdown of our net financial results. As I mentioned, if you see on the bottom of the page, we have last year a devaluation 35.6% during the last year in real terms that was 12% and this year it's almost flat, and this has an impact on line three the net exchange differences that you can see in the part of Cresud and in the part of IRSA, that affect the dollar denominated debt. So that is the main effect on the financial side. The other one is in the results from fair value of the financial assets that you can see ARS640 million against ARS333 million lost last year. This is related to our liquidity and investment -- in the investment of our liquidity. Page 12, we mentioned during the quarter that the new regulation of the Central Bank affected one of our payments. Remember that the Central Bank basically ask the companies with amortizations during this semester to refinance debt. In fact, they say that they will only sale 40% of the dollars and the remaining 60% the companies has to refinance. They won’t sale more than 40% of the dollars. So we have to go to our existing [indiscernible] holders and ask for an exchange proposal. We gave two options; the option A gave alternative to our holders to collect cash and the remaining in new note; and option B for the ones that they don't want to collect dollars now, they can defer the payments and up to the next two years. The exchange were very successful. We have an acceptance of 88.41% the people that choose option A collected 96% in dollars. So instead of the 40% that the Central Bank allow us, they collected 96% and the remaining, the $34.3 million were refinanced up to November 2022. If we go to Page 15, we can see the debt amortization schedule. So we have atomized payments to do during the next three years. So no new measure after the payment. You remember that during the year, we issued $2 lean or $3 lean notes. So the idea of the company was to pay all the debt and this rule of the Central Bank force us to refinance. The company has strong cash position of almost $72 million more of cash available. So with this, we finish the formal presentation. Now we open the line for a Q&A session.
A - Santiago Donato: [Operator Instructions] [Octavio Degregori] wants to make a question. Please go ahead.
Unidentified Analyst: I would like to ask you, what expectations do you have about the future of the business in Argentina, taking in account the program that the government has to sign with the IMF and the consequences that this will have for the future of the country? Thank you.
Alejandro Elsztain: Related to agribusiness, there is a lot of optimism on the market, and we saw this increase of more than $100 per ton of soybeans and this changed for sure the market feeling and we are considering what this affects the results on the campaign and it's incredible. So in some countries doubles the result, more than doubled the results this increase in the middle of the planting time. So optimism on the food production of the world is coming. And we feel this that it's a new trend that was at $9 to $10 the bushel for many years. Now we are going to the 12th level and this will for sure affect the optimism of the farming industry on South America, and this group between Cresud and BrasilAgro is going to profit on that for sure. And not only in the grains but in the beef demand from China, mainly in Asia, it's increasing a lot, they are recovering their stocks. And this will for sure affect the liquidity on the real estate part of our business, because of the increase in the margin, increasing the gains and the intention of increasing the size of farmers. So that for sure will profit our business theory.
Matias Gaivironsky: And [Octavio] regarding the financial side and the IMF, of course, that will have an impact on Argentina macroeconomic situation. We don't know really what the government will do. Probably what they have been showing is they tried to normalize the curve of the debt with the situation on the refinancing all the sovereign debt in local currency and in dollars. So we hope that they will close an agreement with the IMF. We don't know when but we hope that they will do it. The reason is on the real estate side, definitely better than this year. This year was a very unique situation with malls and hotels and convention centers closed for almost six months. So definitely will be better. We believe that our platform is in conditions again to make attractive business. And since we supported our tenants, we hope that they will strength the relation with them and they can survive this crisis and be ready for the recovery.
Santiago Donato: [Operator Instructions] There are no more questions. We conclude the Q&A session. At this time, I would like to turn back to Mr. Alejandro Elsztain for any closing remarks.
Alejandro Elsztain: For agriculture, first quarter is just the beginning. It's a very optimum situation for the beginning. The first quarter we are planting in good conditions in good window for farming that is relevant for achieving budget yields. We have a big campaign for work and we are very optimistic on the platform and the portfolio that the company is running today. So thank you very much. We see you next quarter. Thank you for everybody. Bye.